Operator: Good evening everyone. At this time, I would like to welcome everyone to the World Fuel Services 2010 third quarter earnings call. My name is Russell and I will be your event specialist today. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. Instructions on how to ask a question will be given at the beginning of the Q&A session. It is now my pleasure to turn the webcast over to your speaker Frank Shea, Executive Vice President and Chief Risk and Administrative Officer. Mr. Shea you may begin your conference.
Frank Shea: Good evening, everyone and welcome to the World Fuel Services third quarter 2010 conference call. I am Frank Shea, EVP and Chief Risk and Administrative Officer and I am doing the introductions on this evenings call, with as we have been doing in recent quarters a live slide presentation. The call is also available via webcast. To access this webcast or future webcasts please visit our website www.wfscorp.com and click on the website icon. With us on the call today are Paul Stebbins, Chairman and Chief Executive Officer, Michael Kasbar, President and Chief Operating Officer, Ira Birns, Executive Vice President and Chief Financial Officer, and Paul Nobel, Senior Vice President and Chief Accounting Officer. By now, you should have all received a copy of our earnings release, if not, you can access the release on our website. Before we get started, I would like to review World Fuel's Safe Harbor statement. Any statements made or discussed today that do not constitute or are not historical facts, particularly comments regarding World Fuel's future plans and expected performance are forward-looking statements, that are based on assumptions that management believes are reasonable but are subject to a range of uncertainties and risks that could cause World Fuel’s actual results to differ materially from the forward looking information. The summary of some of the risk factors that could cause results to materially differ from our projections can be found in our form 10-K for the year ended December 31 2009 and other reports filed with the Securities and Exchange Commission. We will begin with several minutes of prepared remarks which will then be followed by a question-and-answer period. At this time I would like to introduce our Chairman and Chief Executive Officer, Paul Stebbins.
Paul Stebbins: Thank you, Frank. Good afternoon and thank you for joining us. Today we announced earnings of $36.8 million or $0.60 per diluted share for the third quarter of fiscal 2010. We are pleased with these strong results which reflect our inability to continue to execute well, despite a persistently uncertain global economic environment. In Q3, we achieved a number of key milestones. Number one, in July we completed the acquisition of Lakeside oil based in Milwaukee Wisconsin, adding 350 million gallons to our domestic wholesale land business. Number two, in August we announced our agreement to purchase Western Petroleum in Eden Prairie Minnesota. Western will add more than 500 million gallons of land-based fuel growing our land segment to a current annual run rate of 2 billion gallons. It would also add approximately 100 million gallons of jet fuel to our general aviation business and will diversify our business activity into propane, lubricants, ethanol and railcar logistics. We completed this acquisition in early October. Number three, in September we expanded the size of our revolving credit facility and successfully completed our secondary equity offering, which increased our total available liquidity to more than $1 billion. We continued to deliver strong performance in what remained a very choppy market and our better positioned than ever to take advantage of additional strategic opportunities. In our marine segment, the shipping industry was still in search of a more stabilized global trade environment. And this was reflected in lower results quarter-over-quarter. We attribute this to generally soft demand, as concerns about the current market direction, persists across all segment in the shipping industry. In the near term, we will continue to focus on driving overall gross profits and good risk-adjusted returns. Looking forward, it is clear that despite the lagging economic recovery in the US and Europe as well as fluctuation in rates and capacity, shipping remains an integral part of global trade. And the long term outlook's suggests continued robust growth in the emerging market for years to come. We remain confident that our strategy, providing a high level of service to major global fleets with the staying power to whether the uncertain market conditions will continue to produce solid results for the company. Our aviation segment delivered another record quarter in volume and gross profit. As we remain focused on risk management, we have continued to pursue lower risks, lower margin customer engagements and this was the principal driver of our sequential growth in volume this quarter. We have been successful in opening up new markets and competing for market share with a broader spectrum of customer. In addition to our continued growth in the commercial markets, we have by virtual by acquisition or Western petroleum entered the branded fuel market in the business aviation sector. Western petroleum is the exclusive US distributor off Exxon Mobile products in the branded fix-based operator market as well as a distributor of ConocoPhillips product, serving a total of 100 FBO’s, 180 FBO’s at general aviation locations around the country. This is a good complement to our existing un-branded sales in this phase and we see continued opportunities to grow our segment in both the branded and unbranded FBO markets. Overall, I added a report that industry conditions have significantly improved year over year in the aviation industry. Whether or not the recovery is sustainable will in part depend on the pace of the economic recovery and capacity discipline in the industry. We remain focused on our core strategy, driving value by expanding supplies at a growing number of domestic and international locations. In our land fuel space, we are very pleased with the addition of Lakeside oil and Western petroleum to our business. Lakeside is making a good contribution to our branded supply initiatives and Western has fortified our position in the unbranded stage. Western is also active in propane, lubricants, ethanol and railcar logistics, all of which represent significant growth opportunities and our businesses which will benefit from our strong balance sheets and liquidity position. We are also pleased that Western brings with it a talented team of dedicated professionals whose strong culture and passion to the business have already begun to have a meaningful impact on strategy and execution in our Land and Aviation segments. Along with the many commercial initiatives which took place during the third quarter, we also focused our attention on fortifying the balance sheet and strengthening the liquidity. We expanded our credit facility and completed a successful secondary equity offering which increased our available liquidity to more than $1 billion. We are therefore well-positioned to execute on our plans for continued organic growth and further strategic investment opportunities. Our strong balance sheet and liquidity position continue to be an important differentiator in today's uncertain economic environment. As we look forward, we see a market in which the major oil companies will continue to shed downstream assets and looked to partner with well-financed supply chain partners to efficiently move their product to markets, reduce their cost of processing and mitigate credit. In aviation, this will allow us to grow our commercial fuelling presence at an increasing number of airport locations, expand our market in general aviation and develop a more robust commercial flight services business. In our land segment it will allow us to continue to build out a domestic and international presence in the branded and unbranded supply of diesel and gasoline while diversifying into propane and renewables and developing deeper confidence in rail pipeline and shipping logistics. In our Marine space, our continued focus on supply and the increasing use of technology to service large global customer will allow us to benefit when global waterborne trade more fully recovers. One last note in the area of corporate governance, we were very pleased to announce the recent appointment of John Manley to our board of directors. After more than 27 years as a partner, John retired in 2009 from Deloitte and Touche, where he founded and was the national director of Deloitte's regulatory consulting practice. Before joining Deloitte, John had seven years of regulatory experience with the Securities and Exchange Commission and the Commodity Futures Trading Commission. John who will serve on our audit and governance committees brings a wealth of expertise in the area of commodities and derivatives accounting, and a deep knowledge of the ever-changing regulatory environment. We are proud to have John as part of a team as we continue to grow and expand our global business offering. We are excited about the opportunities ahead and appreciate your continued support. I will now turn the call over to Ira Birns for a detailed review of the financial. Ira.
Ira Birns: Thank Paul. Consolidated revenue for the third quarter was $5 billion up 13% sequentially and up 56% compared to the third quarter of last year. The year-over-year change in revenue was impacted by the increase in crude oil prices from an average of $69 per barrel in the third quarter of 2009 compared to an average of $76 per barrel in the third quarter of this year, as well as the increasing volume in all three of our business segments. The aviation segment generated revenues of $1.9 billion, up $166 million or 10% sequentially and up $703 million or 61% year-over-year. Approximately 64% of the year-over-year increase was due to increased sales volume and approximately 36% was due to an increase in the average price per gallon sold as a result of higher world oil prices. Our Marine segment revenues were $2.4 billion up $79 million or 4% sequentially and up $650 million or 38% year-over-year. Approximately 55% of the year –over-year increase was due to increase sales volume and approximately 45% was due to an increase in the price per metric ton sold as a result of higher oil prices. And finally the land segment generated revenues of $774 million, up $344 million or 80% compared to last quarter and up $432 million or 126% year-over-year. Approximately 92% of the year over year increase was a result of higher sales volume which included a full quarter of our recently acquired Lakeside business with the remainder being a result of higher oil prices. Our Aviation segment sold 781 million gallons of fuel during the third quarter, up 13% sequentially and up 41% year-over-year representing record quarterly volume. Volume increases this quarter were again driven by growth in commercial passenger, cargo and general aviation businesses. We have now experienced six consecutive quarters of sequential volume growth increasing quarterly volume to 70% from the 459 million gallon level in the second quarter of 2009. By driven in part by seasonality, we expect volumes to flatten out a bit in the upcoming fourth quarter. Our Marine segments total business activity for the third quarter was 6.12 million metric tons, down less than 1% from last quarter but up 17% year-over-year. Although marine volumes remained relatively flat sequentially, we continue our conservative approach to doing business as we continue to experience demand weakness and overall industry softness. Latest industry reports project that this weakness will continue at least through the first half of next year. Fuel reselling activities constituted approximately 82% of total marine business activity in the quarter which are slightly higher than our historical average. Our Land segment sold the record 359 million gallons during the third quarter, up 89% sequentially and up a 118% from last year's third quarter. All the results presented for our land segment now include our recently acquired Lakeside business which is performing to our expectations. Excluding Lakeside volumes were up 40% sequentially and 52% year-over-year. As we announced a few weeks ago, we have also completed the acquisition of Western Petroleum. Western is based in Eden Prairie Minnesota with annual volumes of more than 500 million gallons of land-based fuel and approximately 100 million gallons in aviation fuel. Including Western our current annual run rate of volume in our land business has reached 2 billion gallons. We look forward to the many growth opportunities that Western brings for our business and again welcome the entire team to World Fuel. Since we closed the Western acquisition on October 1, we will realize a full quarter of their results in the fourth quarter. Consolidated gross profits for the third quarter was a $112.1 million, an increase of $4.5 million or 4% sequentially and an increase of $17.4 million or 18% compared to the third quarter of last year. Our Aviation segment contributed a record $5.8 million profit, an increase of $2.9 million or 6% sequentially and up $12.9 million or 30% compared to the third quarter of 2009. Our jet fuel inventory position was approximately 68 million gallons or $155 million at the end of the third quarter, an increase of 24 million gallons from the end of the second quarter supporting the significant increase in self-supply activity during the quarter. We also increased the level of shorter term low margin business during the quarter and expect this trend to continue through the end of the year. We did realize a benefit from inventory average costing again this quarter but the amount of benefit was less than $1 million, which was lower than the benefit achieved during the past few quarters. The Marine segment generated gross profit of $41.2 million, a decrease of $2 million or 5% from last quarter but an increase of $1 million or 3% compared to last year's third quarter results. While business conditions improved somewhat in the second quarter, this quarter's results provide further evidence that the marine market continues to bounce along the bottom of what is still a generally weak environment. Our land segment delivered record gross profit of $15.1 million in the third quarter, up $3.6 million or 31% sequentially and up $3.4 million or 30% compared to last year's third quarter results. As I previously stated our third quarter results included the results of Lakeside which has further expanded our wholesale land distribution market in the Midwest. Operating expenses for the third quarter excluding our provision for bad debt were $65.9 million dollars, up $5.1 million sequentially and up $13.8 million compared to the third quarter of 2009. This increase includes a full quarter of expenses related to Lakeside as well as increased compensation expense. This quarter's operating expenses also included approximately $1 million of acquisition related expenses which have not been included in the forecast provided on last quarter's call. For modeling purposes, I would assume overall operating expenses excluding bad debt expense of approximately $70 million to $74 million in the fourth quarter which includes the addition of a full quarter of expenses related to the Western acquisition. Our total accounts receivable balance was approximately $1.2 billion at the end of the third quarter, up roughly $48 million from this year's second-quarter. Our bad debt provision this quarter was approximately $1.1 million, down $600,000 sequentially and down approximately $700,000 compared to the third quarter of last year. Consolidated income from operations in the third quarter was $45.1 million flat sequentially but up $4.2 million or 10% year-over-year. Income from operations for aviation segment reached $31.6 million. This represents an increase of $2.9 million or 10% sequentially and $10.4 million or 49% compared to the third quarter of 2009. Our marine segment’s income from operations was $20.7 million for the third quarter, a sequential decrease of $3.3 million and a decrease of $1.4 million from last year's third quarter. In our land segment had income from operations of $3.2 million up $1.5 million or 82% sequentially, and up approximately $500,000 or 18% year-over-year. The company had non-operating expenses of $1.2 million during the third quarter. This number was principally comprised at net interest expense and other financing costs. Included in this number was one month of increased expenses related to the amended and restated bank facility that we completed in September for approximately $400,000. The credit facility now allows for borrowings of up to $800 million and is scheduled to mature in September of 2015. Excluding any foreign exchange impact, I would assume non-operating expenses including a full quarter of expenses related to the credit facility to be approximately $2 million to $3 million for the fourth quarter of this year. This estimate once again includes a full quarter of expenses related to the bank facility. The company’s effective tax rate for the third quarter was 17.1%, slightly lower than the 17.3% rate in the second quarter and compared to 26.4% in the third quarter of 2009. Our fourth quarter effective tax rate should be somewhat higher sequentially due principally to Western which will be taxed at domestic rates. Therefore, we estimate that our effective tax rate for the fourth quarter should be between 18% and 21%. Our net income for the third quarter was $36.8 million, a decrease of approximately $200,000 sequentially but an increase of approximately $7.7 million or 26% year-over-year. Excluding the impact of the one-time recovery of a short-term investment in the second quarter, net income was up $1.2 million or 3% sequentially. Diluted earnings per share for the quarter was $0.60, a decrease of a penny sequentially but up a penny after excluding the impact of the previously mentioned collection of a short-term investment last quarter and an increase of $0.12 or 25% year-over-year. While our earnings per share in the third quarter was impacted in parts by the additional outstanding shares related to a recently announced equity offerings as well as the previously mentioned one-month of expenses related to the bank deal. EPS will be impacted by both of these items for the full fourth quarter. While these two items only impacted third quarter results by approximately one penny, in the fourth quarter the estimate the aggregate diluted impact of the equity and bank transaction to be approximately $0.08 to $0.09 per diluted share assuming weighted average shares and share equivalents of $70.5 million shares for the fourth quarter. Non-GAAP earnings per share which excludes amortization of acquisition related identified intangible assets and stock base compensation, were $0.66 in the third quarter up for $0.52 in the third quarter of 2009. Our return on invested capital was 16% in the third quarter compared to 18% during the third quarter of last year, remaining well above our cost of capital. Our return on invested capital will be impacted by our recent secondary equity offering in the fourth quarter, which should improve once the proceeds of the offering are deployed strategically. Our overall net trade cycle remains flat sequentially at 7 ½ days for the third quarter. Return on working capital was 45% this quarter compared to 51% in the second quarter. We had an operating cash outflow to the quarter of $57 million, primarily related to working capital required to support the record levels of volume achieved in our aviation and land businesses during the quarter. Despite this outflow, we closed the quarter with $425 million of cash, which was also impacted by proceeds for our recent equity offering and the funding of the Lakeside acquisition in July. On a pro forma basis, including the purchase of Western in October, when combining our cash with availability under our credit facility, we have more than $1 billion of available liquidity. In closing we have made great strides to fortify our balance sheet this past quarter, driven by the success of bank financing and equity offering. We remain in a strong financial position armed with significant liquidity, to continue to grow both organically and through strategic acquisitions. We closed the integration of acquisition of Lakeside in July and just recently completed the Western acquisition. With an unprecedented level of growth opportunities available to us and the Aviation, Marine and Land segments, we plan to utilize the proceeds of recent equity offering to make further strategic and accretive acquisitions driving additional value for our shareholders. We continue to produce strong result despite continued market uncertainty. And lastly, we believe our continued investments in people and technology are building a solid foundation, which will allow us to continue to improve our value proposition to our customers and suppliers and allow us to capitalize on further opportunities for growth in the future. At this point I would like to turn the call over to the operator to open up the call to take questions and answers.
Operator: (Operator Instructions) your first question is from the line of John Chappell with JPMorgan.
John Chappell – JPMorgan: Good afternoon.
Paul Stebbins: Hey, John.
John Chappell – JPMorgan: So, Paul, you've probably heard this question about 200 times in the last month, which means I've probably heard it 100 times. So I'm ask it and then kind of give you an empty slate to kind of talk about it, and then maybe I'll ask a little bit more details around it. But with all this liquidity, can you speak to the acquisition opportunities that you see today? And maybe compare it to 12 months ago, not just the amount of opportunities, but how close you are to maybe pulling the trigger on some things. And then also, if you can prioritize a little bit by segment, that would be very helpful.
Paul Stebbins: Sure. By say as a general statement, the operating environment globally represents tremendous opportunity. As Mike Kasbar said many, many times the world is part of and I would say there’s a lot of truth in that when you look at what's going on in the supply chain and a lot of what was precipitated by the economic upheaval of the crisis was a complete rethink of the integrated oil companies about their commitment to the downstream market and so when we look at the landscape of opportunities, it is not compelling to any one segment. We see significant opportunity and unprecedented levels of opportunity as Ira mentioned in his opening remarks in all three of the segments. In terms of how we priorities it, we are very focused on accretion, we are focused on returns, we are looking to the best possible returns to the deployment of those dollars, so I will say that the strategic template that Mike Kasbar has been driving in terms of doing a disciplined review across the spectrum and being able to help us rank and prioritize those investments. I would say that we're exercising a whole new level of discipline and maturity in this enterprise with regard to how we process those opportunities. So our objective is not to do acquisitions just for the sake of it, we are interested in acquisitions that again drive strategic value, that are going to drive synergy up, synergistic opportunities for the company but our primary focus is return and we want them to be our core and adjacent to our underlying strategy which is to be the most important player in the branded and unbranded distribution of fuels international and I don't think we have ever seen this much opportunity and I got to say it is in awfully exciting time so what I think is great is that the investment we have made in terms of functional support within the enterprise, our systems capability means. We have a level of ability to review in a disciplined way those metrics in a way that we never had before, so it is kind of an interest in convergence of our capability and the market opportunity so I hope that helps you but we are excited. In terms of ranking them by segment, we think there are opportunities in all three, that generate what we think are very attractive on returns.
John Chappell – JPMorgan: Okay. well, if we can focus on land for just one minute, there is –you mentioned twice, so I was able to write them down after two times, but you said ethanol, propane, lubricants, railcar logistics. Those are four different areas that you've expanded into through the Western petroleum acquisition alone. Using those four as a base, but then also other things that you're thinking about, are the next stages of development and expansion kind of different from the core kind of World Fuel that we've known for like the last five years? And let me just – more assets, different types of fuel, clean energy, stuff like that. I know it's a broad question, but you highlighted it twice through the Western Petroleum new addition, so –
Michael Kasbar: Jonathan, I'm going to take that question. This is Mike Kasbar. One of the luxuries that we have today, the opportunities being so rich as we do have the ability to be quite a bit more selective, I think it is a combination of a lot of divestitures, as a lot of these companies were set up 20 years ago, 30 years ago and it is time for an exit for a lot of these entrepreneurs that started these business is so our approach now is really to be looking at all the classic metrics that you would in terms (inaudible) we are certainly expanding from the core. A big part of what we're doing now is we're looking at these acquisitions that bring talent into our company. We've said it before; we're a franchise for entrepreneurs. We're looking to fit strategic pieces into our expanding platform. So the physical logistical competencies that we get in Western in terms of railcar in terms of pipeline, in terms of their terminal competencies really bring a lot of value to the entire organization. The other commodities in terms of ethanol certainly using that within our gasoline business of propane, is a great market for us to be in. The lubricants business that they bring, certainly add to our marine lubricants and biodiesel. So all of these really fit in, Western was really a marvelous addition to our group because of their team and because it really gives us a lot of extensions as well as giving us critical mass within our US land business.
John Chappell – JPMorgan: Okay. Thanks Mike, then one last one to get Ira involved and to focus more on the organic side. You mentioned that the self-supply volumes were up about 24 million gallons from the end of the second quarter, and was something I think you were going to plan to continue through the rest of this year. How big do you plan on having this self-supply model get? And is this an opportunistic opportunity – initiative? Can it get bigger next year? Is there a more efficient way to hedge this? Are we still going to have the mark to markets? How do you see that evolving?
Ira Birns: Well, I will start backwards, and thanks for including me and allowing me to participate. I appreciate it. In terms of hedging, I think, as noted over the past couple years, we've done a much better job in hedging that inventory position and you have seen that in the results quarter in quarter out. So whether we have 40 million gallons or 60 or 70 million gallons, I think that answer will remain the same, as we're very focused on doing that well. In terms of opportunities, I think it is an opportunistic situation, if there are more opportunities to drive growth through self supply as we have over the past 12 months and they deliver the returns that we need achieve based upon our own internal hurdle rates etc., that number could indeed grow. Will it grow consistently quarter in and quarter out, it is really too early to say that but there is certainly opportunities to grow in that space and if the returns are there we have every intention of doing so.
Paul Stebbins: Yes Jonathan, I might just add, as you know the history of that model, we've e always got an arbitrage between the back to back model as well as our self-supply. Part of it also is that we've used it as a way to build short position in certain critical airports, so you have heard that talk about another cause of one of the exciting things that is going on in the supply chain as we see the opening up of new markets on airports that need to be more close like in Europe and Asia, we think that this is a trend that is going to continue in our inability to self supply into some of those markets is going to be good.
John Chappell – JPMorgan: Okay. Thanks, Paul. Thanks, Mike and Ira.
Operator: Your next question comes from the line of George Pickral with Stephens Inc.
Michael Kasbar: Hi, George.
George Pickral – Stephens Inc.: Hey, guys. How is it going? Paul, you talked about, as you do every quarter, the majors getting out of the downstream market. I was wondering if you could talk a little about – a little bit about the Avitat agreement you signed. Now, I know this one JV isn't a needle-mover per se, but can you maybe talk about the opportunity in the market and maybe the opportunity to take this model were you kind of partner with a major into the marine or land space.
Michael Kasbar: George I’m going to take that. This is Mike Kasbar. You all recall that we acquired AVCARD in 2007 and they were a closed-loop card processing system. We really liked that business and we've been developing that ever since. The Avitat piece it's not large piece of business, but it's meaningful and, as you say because what it is quite simply is that in an online transaction processing system we are leveraging our ERP system and we are utilizing our transaction processing for discount contract fuel, and providing those cardholders with reduced processing fees at about 1600 locations where they can get business aviation field. So we eliminate our paper and point-of-sale machines and taxes for fuel confirmations. So we really like this space, we like the transaction processing side of it. It very much fits into our model. We process hundreds of thousands of transactions monthly to the tune of about 400,000. It's quite enormous. So that operational intensity is huge it is a very big part of our value proposition easy to do business with, its taking us a long time, it’s been a very painful road. So we’re pretty excited, we are rolling this out in a number of different areas. So we're pretty happy and excited about it not alone for business aviation space but in other markets as well.
George Pickral – Stephens Inc.: Okay, fair enough. Good answer. Maybe sticking with you, Mike, on the Western acquisition, you bought a little piece of branded piece in aviation. Can you maybe talk about strategically, from a supplier standpoint, how that changes your branded business when you're competing in locations where you have both the branded versus unbranded?
Michael Kasbar: Well it’s – listen we have co-existed in so many different ways and so many different markets, at the end of the day we're serving a lot of masters. So you have got different suppliers that are looking to achieve different end results and the beauty of our model is that we are aggregating that demand, if you want to stand our business model in terms of dealing with the credit and distribution all the labor-intensive customer activity and servicing and simply answering the phone 24/7. So whatever that oil company, that integrated oil company, that state oil company, that major oil company, that independent, if they want a brand, then we got the ability to give them the brand. If they want to go one branded that they want to just deal with that equity barrel and basically get distribution, we can do that. So we're pretty much lower with the functions. One of the exciting things is that, we are having a lot of fun because we spent our entire lives basically building this platform because we identified the space is requiring a ubiquitous, global brand and now that large integrated oil companies are really moving up string where they are making a lot of money. The opportunities have been greater, so the business aviation space is a nice pace. We have had our Baseops business acquired that in 1998, that has been kind of a slow burn at par with an addition to it we have got other partnerships. We like this space, we like to grow in this space and Western the beauty of Western is that it brought us land, it brought us business aviation, it brought us great organization, it brought us physical logistic competency so it’s just instead of march to really grab as many of those downstream distribution models is possible in transportation fields.
George Pickral – Stephens Inc.: Okay, last question, I’ll get back in line. Mike again on the land side here if I remember I'm sorry if I missed this in your prepared remarks. I think a month or two ago you were talking about $1.5 billion run rate in land and now you're up to $2 billion. Is that because of underestimating the acquisitions or are you starting to see organic growth in your (inaudible)
Michael Kasbar: George, you will recall our many years of moderate embarrassment as we – we are looking to do our green fields, our de novo land business and its pretty expensive education for us. So that growth is from a lower margin, a lower risk business model we’re starting to mimic a little bit of what we do on aviation. So that is, organic growth and it has taken us a long time to get there. The idea is to basically get the position, get the volumes, satisfy the clientele and then figure out how to add the value later.
George Pickral – Stephens Inc.: Catch it. Good quarter and thanks for the time.
Michael Kasbar: Thanks, George.
Paul Stebbins: Thanks, George.
Operator: Your next question comes from the line of Gregory Lewis for Credit Suisse.
Gregory Lewis – Credit Suisse: Good afternoon, hi guys. My first question is -you talked a little bit about the marine volumes and how does it look to be somewhat flat to challenging as is you move into Q4. Could you provide some more color on sort of how should we think about aviation volumes and in other words as we move in towards the end of the year and the holiday season. Do we traditionally see a pickup in aviation volumes during the last two months of the year?
Michael Kasbar: No, not particularly. I think I mentioned Greg seasonality -I mentioned two things on the call to repeat on both and maybe add some color. We have seen a significant rebound from the bottom when the aviation markets bottomed out. We had dropped from what it had been a run rate of one point of about 650 million gallons a quarter down to about 425 million or so at the low point and we battled back very successfully over the last four, five, six quarters. I think, the growth has been extremely solid in fuel and consistent or I think as we get into the fourth quarter as you guys think through the end of the year, I think I mentioned on the call that we expect things to level off a bit from a seasonality standpoint. We probably have a bit more seasonality in the summer months from a positive standpoint than in the winter which is more limited to a couple of holiday weeks where there is obviously a lot of commercial passenger volume that ramps up over the summer, so if you combine those couple of factors they will get bit of a boost and although its small numbers on a quarterly basis from Weston's aviation business. We expect the result from volume perspective to be somewhat flattish to Q3 in aviation.
Gregory Lewis – Credit Suisse: Okay, great. And then just lastly, I think it was touched on little bit earlier. In thinking about the oil majors and clearly it has been bulk oil in their decisions sort of exit the downstream. When you think about where there exiting the balance stream would you say it's safe to say that it seems like they are primarily exiting the downstream in more international locations. Are you seeing opportunities and just as domestically as you are internationally by the land based [ph] figures.
Michael Kasbar: Greg, it's a great question, but we are actually seeing it in both domestic and international. I think that when you look at the highest level of these enterprises they are making strategic decision. It's our perception that we integrated major all companies are more focused about this competition with large government back enterprises like Petro China, than they are thinking about who is at the next gas station or who is at the next seaport or who is the next airport. So from that perspective it is a strategic decision that is universal. It’s global and skilled. Now they are obviously going through that process which is true to form in a very disciplined rational way. These are not precipitous decisions there is a systematic review and execution goes in with this these are very well-run enterprises. So if they begin to dismantle this operation, it is a sort of a programmatic approach and they do a kind of segment by segment, region by region and it’s our perception that they are actually active in this across-the-board. So we see opportunities for related to this in all three segments and its international scope.
Gregory Lewis – Credit Suisse: Okay, guys. Thanks for the time.
Michael Kasbar: Thanks, Greg.
Paul Stebbins: Thanks, Greg.
Operator: The next question comes from the line of Ken Hoexter with Merrill Lynch
Paul Stebbins: Hey, Ken.
Ken Hoexter – Merrill Lynch: Good afternoon, can you just talk a little bit about on the marine, the operating income seem to be getting squeezed a little bit, was there something going on with the gross profit per metric ton relative, because it did not seem like the aviation or land got squeezed as the marine side did.
Paul Stebbins: No, I think, I mean look, as I said in my opening remarks, you have got a market that is just been anybody who is into, I think you focus on transportation you know, Look what the tanker operators have been going through, look what has happened in the bulk market. We have just been sort of balancing around a tough market environment and I think that our perception is that there is nothing particularly extraordinary quarter to quarter over that slight change in our margin. I think our focus has been, you just got a kind of weather this thing out, we cannot make the global trade bounce back, it is off a little bit but this is not something from our perspective, there is a huge swing related to some particular events. I think it is more reflective Ken of what we see to be just to be a persistently difficult market for the shipping guys, and anybody who's talking to operators and owners today know that it is just challenging out there. They just can't get a beat on where the rebound is going to be and how consistent it's going to be and yes container rates came back but then they've beaten a little bit. And then you got new trade developing in certain markets, but then it disappears on you. And then you get iron ore into China but then it sort of gets weak, its capacity on the bulk side. The tanker guys have struggled with the rates and hoping that things get a little bit better by the end of 2011 and that has a lot to do with the rebound in economy what happens in energy. So from our perspective, our strategy has been, we cannot control the total economy on global trade so our focus is just stay very close to your customers who are the guys who are going to be the survivors and who are going to be in this market to revive us and then continue to just execute well. And when the things come around we are in a great position to benefit from that but in the meantime it is just kind of steady as she [ph] goes
Ken Hoexter – Merrill Lynch: Okay, and then Ira, on the, when you are going over the aviation segment, you talked about an increase in short-term low margin business, can you elaborate on what you meant there?
Ira Birns: Sure, we started talking about this in the third quarter of last year when we began rebounding in volumes, we began doing more business not of majority of the businesses we do but more of business we had done historically on either are prepaid business our prepaid terms or very short-terms albeit lower margins. So we may see lower margins but it winds up being either very low risk or no risk business, and it produces a pretty healthy return because the capital investment is much lower than what it would have been on historical basis because the DSO is 2,3,4,5, days or less. So that is really what we have seen in some of the growth drivers over the last quarter. So from a return standpoint, generating incremental GP without any meaningful risk attached to it.
Ken Hoexter – Merrill Lynch: Ok, And then last one is, a follow up on John’s earlier question which in fact about the $1 billion of liquidity and addressing the market, it sounded like Paul when you were kind of hitting the road, there was a lot of opportunities, a lot of opportunities developing internationally.
Paul Stebbins: Yes.
Ken Hoexter – Merrill Lynch: Should I take it from your terms, though, it sounds like you're doing more studies on some of these. Has the dynamic of that market changed at all, or is there something that is maybe not as imminent as we should expect? That kind of like when you were on the road, it sounded like there was excitement and a lot of opportunities building that you wanted to attack. Why the (inaudible) and take a look at that.
Paul Stebbins: No, Ken, all I meant to suggest by the review is that when you are, when you have more opportunities than you could actually possibly execute on, the rigor and the discipline by which you would view those opportunities become a much more strategic exercise, so I would say that no on the contrary when we talked on the road about the pipeline of opportunities being robust, that is absolutely true and is current, nothing has changed at all. I would say that if anything it is expanding and so all that does is speak to what I think that Mike Kasbar in particularly in the last couple of years have been driving a much more sophisticated business process review and development process and that review process has been very important to helping in being more selective so we get the best, so that's all I went as what I would say, we were better equipped to sort with those opportunities are about strategically and but no, on the contrary I would say that since we saw you, since we did the road show, if anything, the opportunities have increased and it has been, it’s both domestic and international, it's not that international, there are plenty of opportunities in the US as well. Did that answer the question?
Paul Stebbins: Hello, operator.
Operator: Yes, John’s line was removed from the queue.
Paul Stebbins: Oh, I'm sorry.
Operator: Next question comes from the line of Kevin Sterling with BB&T Capital Markets
Paul Stebbins: Hi, Kevin.
Kevin Sterling – BB&T Capital Markets: Hey Paul and Ira and Mike, how you guys doing. Congratulations on a nice quarter. Nice to talk to you guys once again.
Paul Stebbins: Thanks.
Michael Kasbar: Thanks Kevin, welcome back.
Kevin Sterling – BB&T Capital Markets: Thank you. Paul, I maybe just wanted to dive in, maybe ask the acquisition question a little bit different. Talking about the opportunities on the Land side, would you prefer branded or unbranded opportunities for Land acquisitions, or are you indifferent?
Paul Stebbins: I think we're indifferent. We certainly like the blend and some part of it is geographic. It is our intention to focus on the United States, Brazil and the UK, that is the current footprint of our land business so it is really case-by-case and it’s with the intention of really reviewing each opportunity to come up with an overall blend that cuts across both branded and unbranded.
Michael Kasbar: They are complementary strategies, Kevin. So, we see this is important to pursue both.
Kevin Sterling – BB&T Capital Markets: Okay, great. And looking at the Western acquisition, it looked like it gave you many different service offerings, from ethanol to pipeline to propane. And you mentioned railcar logistics. Could you explain little about what that type of service is that you provide regarding railcar logistics?
Paul Stebbins: The great thing about railcar logistics is, you basically can create your own pipeline wherever you need it. So it is a bit of an art. Not everyone understands exactly how to operate those railcars, so Western has some particular expertise in that area and big parts of the value and that the part of our margin buildup is on the freight so we have significant precision within that railcar business that allows us to move products where we need to get it so it allows us to work various different arbitrages, North, South and East West. And to create value on the supply side for our customers as well as our suppliers, so if we’ve got a product that happened to be in Canada that needs to be in the Gulf Coast or vice versa, we have got the ability to move that with railcar as opposed to some of the traditional methods and sometimes railcar is the only way to get it from point A to point B. So it is not something that everybody knows how to do and Western brings that skill set to us as well some enhanced pipeline logistics competency, so that really as you know our business model is understanding those petroleum logistics combined with credit and financing and all the other value-added services just in terms of processing, so that railcar now is just a phenomenal addition to our suite of logistical services and Kevin it basically drive from the fact that no system is down and perfect it's not as if ever that you have a matched molecule in the systems from distribution from the refineries as well from the end users or so the ability to move quickly and help the distributors realize the return is what pulled off.
Kevin Sterling – BB&T Capital Markets: Thank you. And it seems like as the rails get busier and they introduce more railcars out of storage, I imagine that's a pretty good opportunity for you guys. Is that the right way to think about it?
Paul Stebbins: Yes.
Michael Kasbar: Yes.
Kevin Sterling – BB&T Capital Markets: Okay, and Paul again, going back to marine side a little bit. Are you seeing any stiffer competition particularly in larger ports or is it really just due to the fact that the marine business is still kind of, rather sluggish.
Paul Stebbins: We have seen a little bit, certainly in the major ports, because those tend to be highly transparent and heavily travelled areas so there is some there, I think but I would say the overall landscape is about the fact that you have got an industry that is just still struggling to get its feet and get its bedrock and that is not something that we can do for the world. I think that until you can get more sustained and more confident recovery, this global in scope, right now you have got sort of(inaudible) an uncoupled world and in the same way that everybody was hoping that when the United States has a crisis, we were un-covert, it turned out that was not true. It is truly an integrated global economy. Some of that is true with the emerging markets; there is still a coupling with Europe and the United States. This does impact trade, it impacts the competence of trade, it impacts of certainty with which business is investing in the supply chain, it is all short of an integrated thing and I would say you see these kind of fits and starts, up down, back forth and we, I would say the primary issue is until the global trade space sorts itself out, we're just going to have to kind of hang in there and be there for our customers and help them continue to execute the best they can in the challenged market.
Kevin Sterling – BB&T Capital Markets: Okay great. And just one last question, on the Marine side, too. We heard about slow steaming now for the past couple years. Have you seen a material impact on your Marine volumes from slow steaming?
Paul Stebbins: I think it's a component. It’s not the component but it's certainly a component because when you look at these large 10,000 TEU vessels or any different size if you consider the engine that is built for 24 knots at a peak speed and then you have got a vessel that's going to decide to operate 18 knots or 16 knots, you're going to get significant savings on a percent basis you are going to get 20, 25, 30 maybe even 35% savings on your fuel. So look in a at cost-conscious age and if we absolutely indulge in things to do in fact we have talked to our customers about we are encouraging them to do that because it is a way for them to sort of protect their financial viability and then taken impact up by slow steaming it's a good way to just manage their cost side. So that is a component it's not the only component I would say you have got just the overall backdrop of not a robust trade market look if the energy market takes off and you see $100 oil next year in a recovering economy the tanker is going to move a lot more actively than they are right now. This is true throughout the entire economy if they are between Brazil and China really eats up because of more importance while you see more activity out of that. We carry those caring iron ore out of Brazil into the Far East. So we're sort of waiting for that to happen. But I would say competition is certainly part of it because there is some, there is little bit more particularly in the big markets but it's probably mostly the backdrop.
Kevin Sterling – BB&T Capital Markets: Okay. Great. Thanks so much for your time this evening. I really appreciate it. Congratulations once again on a nice quarter.
Paul Stebbins: Thanks again, Kevin.
Operator: Your next question comes from the line of Steve Ferazani with Sidoti & Capital.
Steve Ferazani – Sidoti & Capital: Good evening, everyone. On the Marine side – and I know the issue here is primarily on the global macro and just general global bunker demand. But what's the impact on very, very stable bunker prices? I know we've been in a period of stable pricing, but 3Q in particular you saw very little day to day or weekly movement. Does that have a negative effect? And could we see upside, if we saw at least a little bit more volatility, even without demand growth?
Paul Stebbins: Sure it is a great question Steve – very, very good question. In fact as you know historically we certainly benefit from the volatility in the market. When there is a volatile market we certainly benefit from that. I would say the most extreme example of that as you saw what happened in 2008 when you're on extremely volatile market that was going up and down. We tend to benefit from that but I think one of the things I would say as it speaks to the endurance or the strength of our model is that in a very flat non-volatile market we continue to execute very well and deliver a very consistent performance despite a very stress macro environment and a flat market. So from our perspective if you get either any kind of a recovery in the actual certain macro picture and you get any kind of reintroduction of volatility, yes those things benefit us. But I would say in terms of the strengths of our ability to execute and the strengths of our overall model, we are pretty proud of the fact that we just continue to deliver pretty damn good performance despite both those factors. So I think it- when we do see the volatility we have also renews the customer's interest in priceless management because there is a lot of volatility in the market – volatility tends to trigger anxiety about forward curve. So that also allows the stand value as you know historically when we see a very active price risk portfolio that tends to enhance margin, just because of the nature of it. But when you have got kind of a tough backdrop and no volatilities there’s not a lot of anxiety about the forward curve, people just hanging on and trying to survive, all that stuff sort of works against us. So we think we are delivering a pretty solid result even in a tough operating environment but the returns will be very [ph] up.
Steve Ferazani – Sidoti & Capital: Enough. I guess want to go back to – it was asked earlier, but I think the biggest surprise to me was the dramatic organic growth on the Land business after a couple years of maybe not seeing on the organic side. How much of that growth is systematic in terms of, all right, you made the acquisition of Lakeside, now you fill in geographically around those Lakeside customers? Or are you grabbing customers geographically wherever you can grab them?
Michael Kasbar: Well it’s the toughest combination and so the whole idea of the – we're acquiring the company. We're getting a nucleus of activity and we are looking to add to their suite of services and their product lines. So for example some of the companies that we acquired have got fantastic business well they all do. That’s why we are acquiring them but they may not have knowledge of price risk management. They may be involved in branded and not looking at unbranded. They may not be involved in end-delivery. They may not understand inventory, so if the combination of our own organic operation where we are set up across the country pretty much so it's a mix so that way it will always be.
Steve Ferazani – Sidoti & Capital: So can you – what types of growth can you – how much more growth do you get following an acquisition versus – I'm trying to word this in a way – when we see an acquisition like Lakeside, can we also think you might get a lot more growth that wasn't in the Lakeside numbers versus quarters where you're not necessarily making an acquisition.
Michael Kasbar: Well it's going to vary. So it's really going to be case-by-case. We can't really give you any sort of set answer, each market is different. Some market may be more right for organic growth for any number of different circumstances. So some markets are more competitive than others. So it really just depends. So we really can't say based on Lakeside we are going to have x percent amount of organic growth. We're building a global platform; it's a huge amount of work and effort. We are trying to build a global scalable business and as I said before for better or worse some part of that growth is coming in at rather low margin and we’ll figure out how to add margin, as we add value. So I can't really give you any particular specific answer on that.
Steve Ferazani – Sidoti & Capital: Okay, that's fair, Mike. Thanks a lot. Thanks, everyone.
Michael Kasbar: Okay, thanks, Steve.
Operator: Your next question comes from the line of Edward Hemmelgarn with Shaker Investments.
Edward Hemmelgarn – Shaker Investments: Yes, just a bit of a more of a follow-up on Steve's comment. Your land gross profit margin, at least by my calculation, fell rather precipitously. Is that – are you trying to say that was all due to Lakeside or?
Paul Stebbins: No I think as we have answered the call so far today. What Lakeside has an impact on it and the organic growth that Mike was just talking about that we realized during the third quarter was principally of the lower margin, lower risk variety, shorter term similar to what I described on the aviation side earlier. So both of those contributed to our reduced overall average margin but also contributed to its significant increase in gross profit and a better risk profile across the whole portfolio.
Edward Hemmelgarn – Shaker Investments: Do you expect to retain those lower margin volumes in Land? Because your core growth was up, what, you said 40%, I think. I mean, that was rather unusual. Is that like more of a one-time event, or is that going to be –
Michael Kasbar: No I wouldn't say it's a one-time event, I mean the numbers could move around as they have in the past quarter-to-quarter but I think some of those initiatives have taken holes and should produce higher levels of volume when we had seen going back a couple of quarters. But that's nothing they were valuating on a day-to-day, week-to-week, month-to-month basis in terms of where are those opportunities and what are the returns if they are there and they continue to be there, we will continue to go after that type of business which could sustain the volumes that we have or lead to further increases down the road.
Paul Stebbins: Right and also the acquisition of Western, for example, and the unbranded. We have now got a more robust platform to spin that. So we see opportunity there Edward.
Edward Hemmelgarn – Shaker Investments: Do you think that you'll be able to improve the margin back to your more normal profile, or is this drop that we saw – I mean, it was about – I think by my calculation about $42 per 1,000 gallons? Is that going to be a more typical level that you would expect to see, or do you think you'll get back to – gradually move back up to more your $70?
Michael Kasbar: No, it's really driven by a mix of business. What we are more focused on is how do we sustain growth in gross profit on a quarter-over-quarter, year-over-year basis. So for example the Lakeside acquisition was strategic and valuable and clearly it had a low margin profile but that still was a sensible piece of business for us. It's producing nice returns it's doing as well as we expected it to. It may impact the overall weighted margin but that's not our principal focus. So it's really more from a strategic standpoint that are driving growth in gross profit dollars and operating income over time that it is about the raw margin and we are also focused on risk-adjusted returns. So coming along with the lower margin that you noted is the reduced risk profile which should benefit us down the road as well from a working capital perspective.
Paul Stebbins: And our approach has always been to going to the market with a diversified view as opposed to just picking one particular customer segment or supply segment to basically get a diversified view of it because we're not exactly sure which one is going to move or we want to be able to optimize between all the various different market segments and geographies. So the approach we are taking is to get scale, to get global scale ultimately, to have the number one platform. So there are going to be differences in margin and the mix is going to evolve overtime.
Edward Hemmelgarn – Shaker Investments: Okay. Just lastly, then, is the Western acquisition. What's the gross profit profile like of that business relative to your existing businesses?
Michael Kasbar: On the land side, we generally don't get that granular but it's very similar to our core historical margin on the land-based business.
Edward Hemmelgarn – Shaker Investments: Are some of the – they also offered you some specialty type businesses. Are those higher margin businesses, or –
Michael Kasbar: Well, my last answer was more on a blended basis. So if you put it all together it's in the same general area as our core business.
Paul Stebbins: We wouldn't be breaking out those other pieces Edward.
Edward Hemmelgarn – Shaker Investments: No, I was just – I realize you weren't going to break them out, but just curious. Okay, thanks, appreciate it.
Paul Stebbins: Good, thanks.
Operator: At this time, sir, we have no further questions.
Paul Stebbins: Okay. We appreciate everybody's time today and thanks for all your support and we look forward to talking to you at the Q4. Take care.
Michael Kasbar: Don’t forget to vote.
Paul Stebbins: Okay.